Operator: Good afternoon, and welcome to Agiliti's Third Quarter 2022 Earnings Conference Call. Today's call is being recorded, and we have allocated one hour for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Kate Kaiser, Senior Vice President of Corporate Communications and Investor Relations at Agiliti. Thank you. You may begin.
Kate Kaiser: Thank you, operator and hello, everyone. Thank you for joining us on today's call as we provide an overview of Agiliti's results for the quarter ending September 30, 2022. Before we begin, I'll remind you that during today's call, we'll be making statements that are forward-looking and consequently are subject to risks and uncertainties. Certain factors may affect us in the future, and cause actual results to differ materially from those expressed in these forward looking statements. Specific risk factors are detailed in our press release, and our most recent SEC filings, which can be found in the investor section of our corporate website at Agilitihealth.com. We'll also be referring to certain measures that are not calculated and presented in accordance with generally accepted accounting principles on this call. You can find a reconciliation of those measures to the most directly comparable GAAP measures, and a description of why we use these measures in our press release. To download a copy of the presentation that we'll use to facilitate today's discussion, please visit our website at Agilitihealth.com. Select the investor section at the top of the screen, and then events and presentations. Finally, select the presentation titled Agiliti Q3, 2022 earnings slides. With that, I'll turn the call over to our CEO Tom Leonard.
Tom Leonard: Good afternoon. Thank you for joining us to review our third quarter performance for 2022. Joining me today is our President Tom Boehning and our CFO Jim Pekarek. Tomorrow's Veterans Day. I'd like to begin today's call by thanking all of our Agiliti team members, and especially our veterans for their service to our company, our customers and our country. Agiliti is an active supporter of the defense department's SkillBridge program, providing training, internships, and long term employment to military members transitioning to civilian life. Nearly 8% of our current workforce, myself included, count ourselves as veterans. Thank you all for your service. Turning now to our business. Our financial results met our expectations for the quarter, with reported revenue of 3% to $271 million. Excluding the COVID benefit we saw in Q3 2021, our third quarter revenue was up between 6% and 7% year-over-year. Adjusted EBITDA was $66.5 million as our results developed in line with the financial drivers we described in Q2. Agiliti based business remains strong and durable. Over the next two quarters, the impacts of COVID-19 and the delay associated with the HHS contract should be behind us. Thereafter, our results were more clearly reflect our underlying organic growth momentum. Today, we'll spend a few moments on the trends within the business. And then, Jim will walk through our financial performance and expectations for the balance of the year. On August 5, Agiliti submitted its formal RFP response for the Department of Health and Human Services new multi-year agreement for the management for the Federal Emergency stockpile of medical equipment. On November 8, Agiliti was notified that the Government Accountability Office protests had been filed by another bidder challenging the government's determination of their bid as technically unacceptable. We anticipate a short delay while the government works through its formal protest process. Agiliti remains confident our performance, our competitive position, and then the ultimate expected award of a new long term contract. In the meantime, we continue to operate under our existing one-year extension agreement with HHS. It was awarded in February of this year. The general terms of which already reflect the normalized post-COVID management duties for the medical device stockpile. As we described on our last call, and beginning in Q2 this year, the utilization for our peak need rental devices trended to a new lower level, settling somewhat below pre-pandemic utilization levels. As a Q3 peak need rental volumes appeared to have stabilized much as we had anticipated. We expect to see a normal seasonal uptick in utilization in the back half of Q4 and continuing into Q1 of 2023 with the actual impact driven by the severity and length of the COVID RSV and flu season. COVID related impacts and the HHS agreements have been the primary transient drivers of variability in our reported results during our first 18 months as a public company. Throughout the same period, we've shared that our base underlying business has continued to show positive momentum, noting exceptionally strong new business performance from our selling teams. The result has been a solid backlog of sizeable new contracts for Agiliti. On top of the normal high volume pace of smaller new business orders. In just the last few quarters, we've signed more seven and eight figure annual value contracts than ever before in our company's 80 plus year history. In the transition from supporting our customers' COVID driven needs to execute on larger, longer term strategic contracts we expect to see some near term lumpiness in our financial results over the next few quarters related to this growth trend. A reminder that COVID driven customer needs generally resulted in short term, immediate impact high margin revenue. The three to five year contracts we're now implementing, once again provide a highly visible and predictable financial outlook, more typical of our long history as a company. For the balance of the year, we're revising our financial guidance to reflect a more conservative near term outlook on this continued transition within our business. I will now turn the call to Tom Boehning to add his perspective.
Tom Boehning: Thank you and hello, everyone. I'm happy to build on Tom's remarks with some context on our accelerating commercial progress. First is just mentioned, we're seeing tremendous new business momentum driven by our selling organization. The emergence from the pandemic has brought a clear shift in our customers mindshare, and a renewed focus on longer term strategic initiatives, emphasizing cost control, and quality of patient outcomes. Agiliti remains well-positioned to help. The impact our solutions have on our customers operations is increasingly being recognized, including by the industry's largest Group Purchasing Organizations or GPOs, who support these health systems purchasing decisions. Historically, our solutions appeared as a standard line item on a broad based GPO sourcing schedule. Today, we operate under a number of preferred relationships, including unique arrangements under which the GPO directly positions Agiliti solutions to the CSuite of our customers. More recently, we were one of only three vendors of a list exceeding 1200 companies to be nominated for recognition as a Supplier of the Year by a major group purchasing organization, clear recognition of the cost and quality benefits we deliver for their membership. In the last few years, we've worked to elevate our value proposition, broaden our solution portfolio, and train our teams for these higher level customer engagements. That work has resulted in a strong pipeline of sizeable new business opportunities, including many of the largest contracts in the company's history. This positive evolution toward more system wide and IDN level engagements is a testament to the essential nature of our work, and the value we've long proved to our customers. That said, these larger deals require somewhat longer and more complex implementations as we embed ourselves deeply into our customers operations to unlock value in their medical device value chain. We expect to work through this transition in our business over the next few quarters. We've long described Agiliti as a company on the right side of healthcare, meaning that no matter what the near term pressures facing our customers our role in sustaining our nation's healthcare industry is always necessary and in high demand. We saw this clearly as we responded to our customers short term COVID driven needs and we see in our current momentum with the new agreements we're signing. Looking forward, we remain confident in our growth trajectory. For now, our teams are focused on discipline execution, and delivering a strong close to the year. I'll now turn the call over to Jim.
Jim Pekarek: Thank you, Tom. I'll start with an overview of our Q3 financials and then offer some comments on our outlook for the year. For the third quarter, total company revenue totaled $271 million representing a 3% increase over the prior year, excluding the favorable impact at COVID in the prior year, which was estimated at $7 million to $10 million. Revenue in Q3 increased 6% to 7%. Adjusted EBITDA totaled $66.5 million, a 19% decrease compared to Q3 last year. And adjusted EBITDA margins totaled 24.5%. Adjusted EBITDA margins versus the prior year were negatively impacted by the continued delay in the award of the new HHS contract, as well as lower medical device rental utilization in the quarter. Adjusted earnings per share of $0.19 in the quarter, compared to $0.23 in the year ago period, driven by both a slight decline in adjusted net income, and an increase in the effective interest rate on our debt, which amounted to about a penny per share for the quarter. On a year-to-date basis, net income has increased over $12 million compared to 2021. Taking a closer look at the third quarter across each of our service lines. Equipment solutions revenue totaled $103 million, up 33% year-over-year. Our October 1, 2021 acquisition of Sizewise contributed approximately $39 million in revenue in Q3. These gains were partially offset by lower customer utilization of our peak need rental medical equipment fleet in the quarter. A reminder, that when comparing year-over-year performance for Q3 in the prior year period, we estimated a favorable impact from COVID driven demand of approximately $7 million to $10 million. Excluding the COVID impact, equipment solutions was up between 46% and 52% in Q3 this year. Moving to clinical engineering. Q3 revenue was $104 million, representing a year-over-year decline at 7% for the quarter. Revenue from our HHS agreement was lower year-over-year as this work continue to shift from COVID driven deployment and in market support of medical devices back to pre-pandemic maintenance and management activities. Finally, on-site managed services revenue totaled $64 million, representing a year-over-year decline at 12% for the quarter. This is primarily driven by the renewal pricing, and revise scope of our HHS agreement as expected. Looking forward, our customers are focused on longer term, more strategic cost and quality initiatives, which is driving new onsite managed service opportunities through our sales funnel. Over the next few quarters, we expect a benefit from these new agreements to be more clearly visible within our financial results. Continuing down the P&L. Gross margin dollars for Q3 totaled $102 million, a decrease of 2% year-over-year. Our gross margin rate was 38% compared to 39% in the prior year period. The decline in margin rate was volume driven primarily due to lower medical device rental placements, as well as factors related to the HHS agreement as previously described. SG&A costs for Q3 totaled $86 million, an increase of $11 million year-over-year. The increase is primarily due to SG&A costs from our 2021 acquisitions net of achieved synergies. Moving to the balance sheet. We closed Q3 with net debt of $1.04 billion, which includes $1.07 billion in debt less $32 million of cash on hand on our balance sheet. Our cash flow from operations through September 2022 was $162 million driven by strong operating results. In addition, our cash flow from operations, less cash from investing activities totaled over $100 million. Drawn cash flow generation and our LTM adjusted EBITDA performance resulted in a reported leverage ratio of 3.3 times in Q3. Year-to-date, we have utilized cash on hand to retire over $120 million in debt obligations. These principal reductions reduced our cash interest payments by roughly $3 million annually. Looking forward, we will remain diligent in determining the optimal uses of our strong cash generation. We continue to target leverage in the low to mid 3x range. Agiliti maintains a position of solid liquidity with $242 million available as of September 2022. This includes a revolving credit facility, as well as cash on hand. A reminder on the terms of our debt given the macro view on our near term interest rates. Of our $1.0 4 billion in debt we maintain an interest rate swap agreement on $500 million, which is swap floating rate terms for fixed rate terms. This provides a partial hedge for any anticipated market rate increases in the short term. Turning now to our 2022 guidance. Giving consideration to the previously discussed delay of time and materials work under the HHS agreement and the expected timing for onboarding of a higher proportion of a larger new contracts, we are taking a more conservative view on the balance of the year. We now expect full year revenue in the range of $1.11 billion to $1.12 billion. Adjusted EBITDA between $290 million and $300 million and adjusted earnings per share in the range of $0.83 to $0.88 per share. I'll now turn the call over to our operator to provide instructions for our Q&A.
Operator: Thank you, Mr. Pekarek. [Operator Instructions] And we'll take our first question this afternoon from Matthew Mishan at KeyBanc.
Matthew Mishan: Hey, good afternoon, everyone. Thank you for taking the questions. Just quickly, what is the change in expectations that's implied in your guidance from not getting the renewal of the HHS contract in the fourth quarter? What's like -- what's different?
Tom Leonard: Yes. Thanks, Matt. appreciate the question. If you think about the walk from our prior guidance on revenue of 11.60, down to our current guidance. Think about it in two pieces of approximately equal pieces. The first piece being the HHS timing. And then the second piece being the timing of the onboarding of the new business that TB had described earlier. You'll recall, in Q2, I had described that we expected to start onboarding some of the T&M work in Q4. So that's that first piece that I just described in that walk.
Matthew Mishan: Okay. And then next question is on the onboarding of the new contracts. I guess why is that going to be lumpy? I figure those contracts are incremental. And so they should be coming on more on a ratable fashion, I could see them starting slowly. But I don't understand why it would be like lumpy?
Jim Pekarek: Yes. Good to connect with you again. The lumpiness really is in the transition from the type of contracts we saw through COVID tend to be very quick on-boarding of revenue, very high margin flows through and those come on and off fairly quickly. Our mixes now very quickly shifted to these much larger three to five-year contracts. And well that mix is much like our historical mix. Given the size of these contracts, we're not doing implementations across or sometimes 80 sites, not your one or two sites, as we have often done historically. And so that's created some lumpiness in as the shorter term high margin contracts have rolled off that were primarily COVID driven. And as we roll into these and until we get these flywheel really going on these new, much larger contracts.
Matthew Mishan: Okay. Thank you.
Operator: Thank you. We go next now to Amit Hazan at Goldman Sachs.
Amit Hazan: Thanks. Hey, good afternoon. Maybe start with a one on just the fourth quarter as we think about back that we actually haven't seen you guys performing in a flu season before. So maybe help us out a little bit in terms of what you're already seeing, given the early start to the flu season and how much impact that actually has on your business? And I don't know, I would have thought that could have maybe even helped you a little bit here in the fourth quarter relative to what you might have been expecting given how strong the season has started. So any color on that seasonality factor? And how that factors into your guidance? That'd be the first question.
Tom Leonard: Yes. Happy to answer that one for you. In terms of the seasonality, it does begin about mid Q4. The way to think about that what we've reflected in our guidance is the ramp starting, call it mid November. In terms of quantification of it, if you think back in terms of our history, you can think about it in terms of say a 5% to 10% increase that we've built in, and that's principally within equipment solutions within that service line.
Amit Hazan: Okay. And just on the EBITDA aside, the reduction was more meaningful. So maybe just help us out a little bit there on why we saw such a bigger reduction in EBITDA just given there's one quarter left, what are you expecting there?
Tom Leonard: Yes. It was fairly consistent with the take down if you think about our EBITDA margins that we achieved in Q3 and then think about the math in Q4, and the takedown of the top line and the bottom line. It was fairly consistent. So no big things to call out there, per se.
Amit Hazan: Okay. And then just last one for me on the government contract, just as we all kind of try to understand the moves here and the protests. Can we infer from the protests that because there was a protest you were actually in line to win that contract? Is that fair inference?
Jim Pekarek: I don't think while we're going through the -- the GAO is going through its review of the protests that we want to speculate. So as to where we sat in this, simply what we know is as a statements of fact were that all of our bids were doing August 8 and on November 8, we were notified that one bidder had filed a pre-award protest, challenging the government's determination of their bid as being technically unacceptable. So those are the facts as we know them. We would expect that this gets rather quickly resolved. And we remain confident in the strength of our proposal.
Amit Hazan: I'll jump back in queue. Thank you.
Operator: Thank you. We'll go next now to Kevin Fischbeck of Bank of America.
Unidentified Analyst: Hi. This Nivia Perez [ph] on for Kevin. Thanks for taking the question. First question would be, can you talk about 2023 headwinds and tailwind? I know it's early, but how should we be thinking about the implied Q4 guide in reference to 2023?
Jim Pekarek: Well. I would say that it's a bit premature to talk about 2023 overall. What I would tell you is that if you think about the guide for 2022, and as we previously provided a bit of color on the top line. What I would say is that if you did the math in Q4, based upon the guide, it would be safe to assume that on an organic basis, top line would be coming in around mid single digits for the year for this year. That's about as far as we can go. I think TL and TB perhaps can provide a bit of color as it relates to more broader strokes. TL and TB, I don't know if you want to hit anything else there.
Tom Leonard: I'd say -- go ahead, Tommy.
Tom Leonard: Tom, I was just going to say, I mean, we certainly in terms of the momentum we're seeing from a new business perspective, there's a lot of great business that still to be had and that we're onboarding right now. But I think, generally speaking, Jim, nailed it, and probably what we're going to see going into 2023.
Tom Boehning: Yes, just a pile on that same point, we're signing as much business, actually more business than we've ever signed in the company's history. And the macro environment, and that slowing it down, because the work that we do ultimately helps our provider customers, save money and be compliance with regulations that guide their access to medical devices. So we're signing as much business as fast as we ever have, and some of the largest contracts in the company's history. So we feel really good as we get into 2023 and then really ramping this backlog that we've been growing of new business that we've been recently signing, we feel really positive about the outlook. And the increased visibility you'll have in 2023. I feel the that the other benefit we're going to get as we turn the corner, is, by the time we're out of Q1, all of the COVID impacts, all of the prior M&A impacts will be in the rearview mirror, and you're really able to see the underlying organic growth engine that this business has.
Unidentified Analyst: Thanks. And then can you talk about rental utilization and how that's trending versus pre-pandemic levels? Thanks.
Tom Leonard: Sure. What we described last quarter was as this final wave of COVID subsided in Q1, utilization trended to a place below what was our pre-pandemic utilization levels. We quantified that impact as somewhere between $20 million and $30 million annually of high margin flows through revenue. We call that, for lack of a better description, a rebase lining. And what we have seen, since we discussed that last quarter is it's done exactly that. It's seems to have stabilized the baselines at that new lower level. We're seeing as the current flu season is starting to uptick, we're starting to see an uptick in our utilization as well leaving us confidence in that assessment of the business. From this point forward, we follow just that same normal seasonality that we'd historically had in our business and is currently implied in our financial guidance.
Operator: We'll take our next question now from Jessica Woolery [ph] at Citi.
Unidentified Analyst: Great, thanks. And good afternoon. Just going back to those new contracts, you guys are highlighting. Are you seeing demand for some of the newer services or incremental demand for some of those newer services and capabilities you've added more recently? And then just a follow on to that. How are you seeing the pipeline developing I guess beyond the implementation of these new contracts? Just any more detail that would be helpful.
Tom Boehning: Yes. Thanks for the question. It's Tom Boehning. What COVID proved, really to many of these customers is just how important we were to help them optimize their current fleets. And it opened a lot of doors to more strategic conversations that we've had with customers. And as a result of that, really, it's a balanced demand across all of our solution lines, not just the acquisitions we've done, but the solution lines that the company was founded on. And what we're finding is it an IDN, or at a broad based system level is they are wanting to roll out those solutions across their entire enterprise. And in doing so it's complicating the implementations a bit. But they're equally motivated as we are to get them time to value as rapidly as possible. But it really is a balance across our entire portfolio, assisting them in the repairs, with our clinical engineering, augmenting their fleets with our own fleets on the equipment solution side. And then onsite manager ties it all together. So there's no one particular product line that's in highest demand. It's really helping them optimize their fleets and maximize the utilization of their devices across the enterprise. And that's what these larger deals is primarily made up within our pipeline.
Unidentified Analyst: Got it. Okay, thanks. So maybe just a follow on to that. It seems like it's a broad base demand for all of your services. But maybe at this point are you looking for other adjacent capabilities that you'd like to have even penetrate further there at this point or how would you frame that argument?
Tom Leonard: Tom?
Tom Boehning: Yes. So we clearly have years and years to run with our current solutions in terms of headroom in the market. That said, M&A has always been a part of the story for us. And when we can see we're a better owner leveraging that local market infrastructure that we have for services and product that is best and most capably delivered locally to customers, we will continue to augment what we already own with high impact M&A. We do maintain a fairly healthy funnel of opportunities. Money doesn't burn a hole in our pocket. We're very diligent in our valuation criteria. We looked at many opportunities for the very few that we end up bringing in precisely because our organic growth, momentum and visibility is so strong, no need to create risk. But when we see we're a better owner, we will and do pull the trigger on new opportunities.
Unidentified Analyst: Okay. Thank you. 
Operator: Thank you. We'll move next now to Drew Ranieri at Morgan Stanley.
Drew Ranieri: Hi, TL, Jim. TL maybe just one question for you. And then maybe another for Jim. But you mentioned kind of out of the first quarter of 2023, you're going to have all COVID and the M&A impact really behind you. And we're going to see, I think your words, see the organic growth engine of Agiliti. I was just curious if you could touch on kind of the other piece of that, which is profitability and how we should be thinking about the company, and maybe margin expansion from here?
Tom Leonard: Yes, let me have Jim help out on the math piece on that, Jimmy.
Jim Pekarek: Yes, look, Drew as it relates to the bottom line in margin expansion, what we've shared before is our focus first and foremost is top line revenue growth. One of the benefits that, as you know, we get is a volume expansion into this shared infrastructure, provide some nice leverage for us. We'll provide more color more broadly when we get into 2023 guidance. But our focus first and foremost is top line revenue growth Drew. TL, you can provide any other color you'd like to provide there.
Tom Leonard: And shares that we've shared over the last 18 months as a public company is in the absence of us in a position to provide guidance for next year and this moment, we've tried to drive folks back to take a look at that 2015 to 2019 period. Take a look at our historical growth by solution area, or historical margin profile. And your goal is to get back to that historical margin profile and see what are the things that we still have to work to do to achieve that margin profile is not just complete the integration of the acquisitions that we've made, but also as we pull them out to the same nationwide footprint and scale that we enjoy for the rest of our business to get their margins up to what has been our corporate average. But that's where we're driving toward getting back to the same place we were pre-COVID, same cross growth profiles, and then bringing the acquisitions that we've made also to what our corporate average has been.
Drew Ranieri: Got it. And maybe just on acquisitions with the size -- what Sizewise, since it's going to be lapping. Can you just remind us like where you are in terms of integration? Are you satisfied with the integration of the acquisition? And I mean, it looks like it's been hovering around $40 million a quarter, but kind of we've been at 38, 39 over the last couple quarters. But just can you help, like reset our expectations there just remind us of like what the growth rate or growth will be in your hands with the asset? Thanks so much for taking the questions.
Tom Leonard: Yes, we don't guide below the level of full company. But we're extremely pleased with the success that we have had with the acquisition of Sizewise and it's integration. At this point for all intents and purposes, we are completed with the majority of acquisition, integration activities for that business. We are well ahead of the bottom line synergy benefits that we committed to for year one. It's actually allowing us to compete for new business and win new business today. Part of that extraordinary backlog of seven and eight figure deals that we were talking about allows us to compete for new business today that neither company Agiliti nor Sizewise on a standalone basis was able to compete with. So it's been an extraordinary acquisition for us. Again, the integration is complete for all intents and purposes. And do expect to hear more from us in the future as we talk about what we're able to accomplish with that fantastic company.
Tom Boehning: Yes. And just to add to TL's comments there, in the prepared remarks, I spoke to our progress with the GPOs, both Northfield and Sizewise has been integral parts of us in advancing our positions with these GPOs, though, that has also benefited us tremendously both acquisitions.
Operator: And thank you. [Operator Instructions] And we'll the next now to Matt Jeffries at -- excuse me, Matt Taylor at Jeffries.
Matt Taylor: Great. Thank you for taking the question. Hi, everybody. I had two. The first one I wanted to ask was, since you talked about the interplay of some of the short term higher margin contracts sunsetting and signing up some of the bigger business, I wonder if you could take that a little bit of a step further in two ways. One, can you help us with any quantification or differentiation in the amount of the margins of those two types of contracts? And then, when will you see kind of that lumpiness that you described, ending as those new contracts started to take over?
Jim Pekarek: I would say on this. Matt, with respect to the new contracts, one of the things it's important to keep in mind is that it takes a while in year one for us to actually onboard the business and then achieve ultimate optimal margins, really in year two, and for the remainder of the contract period. That's a piece to keep in mind. As you know, we don't guide to specific margins by solutions is we really have one overall shared infrastructure. But that's a point to consider. I would say, and to reiterate what TL described with respect to the Sizewise business, if you think about that, and keep in mind that that's within equipment solutions. The more business we do there, the more leverage we get, and we manufacturer there. As we produce more product, the more leverage we get with respect to our overhead. More to come on that topic as we progress into 2023. But those are a couple of important sound bites. TL, TB anything for you guys to add?
Tom Leonard: Nothing. I think you summarize well, Jim.
Matt Taylor: Okay, great. Can I ask you a follow up just on HHS? So, you mentioned in the commentary that there could be some delay here. And you're still confident in getting the contract? So can I just double click on those. How long could does I be in different scenarios? And then what gives you this confidence? If you can share some of that?
Tom Boehning: Let me start with the last question first. What gives us the confidence is, over the time I've been with the company the last seven years, for much of that we've actually had all of the predecessor and earned all of the predecessor parts of what is now their current stockpile agreement. This has been a long lived stockpile. Perhaps most folks had hadn't heard of until more recently. But over the years, we've managed to consolidate each of the predecessor components of the stockpile away from the OEMs, given what our unique capabilities are not just store it, but to maintain it, to deploy it, to maintain it in the field. Those unique capabilities allowed us to consolidate all the parts of the original stockpile prior to the pandemic. It's why the government directly awarded us the expansion and was able to do it on an no-big basis because of the unique capabilities that we enjoyed. And we took the theory of it and made it a reality over the course of the pandemic, as we at the government's direction, deployed and supported this equipment at their direction. There is no other company with our sets of capabilities and we spoke to that previously. Large reason -- large part why we won and managed to keep it and our work has been near flawless over the time that we've been managing it. So we feel very good about what our performance has been about the competitiveness of our response to the RFP and ultimately, the strength of a proposal and our ability to win. How long can a resolution on this protest take? Last October, an RFP was originally put out. That was immediately protested as essentially being designed so that only Agiliti could win. It was essentially the nature of the protest government since then it took that RFP off the table, evaluated it, put a new one out. I think feeling sounds about the defensibility of it. We responded to this other bidder has been found just technically unacceptable. I suspect that the government be able to make that go away very quickly. There's a matter of days, weeks or longer. It's really up to the government and government accounting office to work through its process.
Matt Taylor: Great. Thank you so much.
Operator: Thank you. Ladies and gentlemen it appears we have no further questions this afternoon. So that will conclude this call. We'd like to thank you all so much for joining Agiliti third quarter 2022 earnings conference call and wish you all a great remainder of your day. Goodbye.